Operator: Good day, and welcome to the Cogeco Inc. and Cogeco Communications Inc. Q2, 2022 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrice Ouimet, Senior Vice President and Chief Financial Officer. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Thank you. Good morning, everybody, and welcome to this quarterly conference call which Philippe Jette and I will present. So as usual, before we begin this call, I’d like to remind listeners that the call is subject to forward-looking statements which can be found in our press releases issued yesterday. I’ll turn the call over now to Philippe Jette.
Philippe Jette: Good morning. And thank you for joining us to discuss the financial results of Cogeco Communications and Cogeco Inc. Let me first note that we are satisfied with Cogeco Communications’ overall performance for the second quarter of fiscal 2022, which is in line with our expectations in both our Canadian and U.S. operations. On the radio side Cogeco Media's revenue has grown compared to last year, despite a weaker advertising market due to COVID lockdowns and continued supply chain disruptions impacting many industries.  Starting with our U.S. operations’ recent initiatives, the integration of both Ohio broadband systems continue to progress very well. We are currently focusing on the migration of the customer management systems, now expected to be completed in early Q4. That's earlier than originally planned. The integration of the customer management system is a key initiative and key milestone to launch Breezeline’s branding, and service offering. Our next steps will then be to further interconnect the Ohio network with the existing Breezeline network and prepare for the launch of our IPTV platform in this market.  In January, we launched a full rebrand of our U.S. business to Breezeline as well as our IPTV platform, which is called Breezeline Stream TV. Our IPTV platform offering a superior internet and the web-powered video experience was launched in some residential markets, with additional ones being added throughout 2022. I am proud to say that the rebrand to Breezeline was a success. We achieved key launch goals of raising awareness through an extensive omnichannel marketing campaign, while ensuring that the transition was seamless for customers.  The announcement was well received in the market. The media coverage was positive and conveyed both the rationale for the change and the benefits to come. Of course, the building of brand equity does not occur overnight, so we will continue to invest in comprehensive marketing campaigns to further lift awareness and drive sales.  Breezeline is moving along with this network expansion in New Hampshire and West Virginia, where it has already connected two communities and planned to connect another seven communities over the coming months through fibre to the home. Breezeline will offer in these communities a residential internet service with symmetrical speeds up to 1 gig and commercial customers will have internet speed of up to 10 gigabits per second. Many other franchises, agreements with local communities should be concluded in other states in the current fiscal year.  However, given delays in concluding some of the franchise agreements and obtaining permits, the completion of certain projects will be postponed to the next fiscal year.  Over the past months, Cogeco Connections as accelerated this construction efforts to connect more homes in underserved communities in Quebec and Ontario, and continues its collaboration with governments to bridge the digital gap between large urban centres and less populated areas. We are currently focusing our resources on the 13 high speed internet network expansion projects, which were awarded in several regions of Quebec, and have already started deploying our fibre network in many of these communities. Once we reach the connection phase, many households will benefit from Cogeco's extensive service offering, which will include a highly reliable internet service with symmetrical speed of up to 1 gigabit per second, a flexible and interactive video offering with its IPTV platform and a telephony service.  Finally, we continue to prepare for an entry in the mobile wireless market in Canada inside our wireline operating footprint. This entry will still -- is still contingent on the approval by the CRTC of reasonable terms and conditions for the MVNO service and the negotiation of reasonable rates with the incumbents. The CRTC is currently reviewing the terms and conditions for the MVNO service proposed by the incumbents.  As for Cogeco Media, the radio stations have once again found their way to the top of the numerous winter surveys, demonstrating the continued commitment of our listeners. We were also pleased to announce in late-March that the CRTC rendered a favourable decision on the transaction between Arsenal and Cogeco which will allow Cogeco to acquire radio stations CILM 98.3 located in Saguenay and Arsenal to acquire the CHOA and Capitale Rock radio station in Abitibi. The deal is expected to close later this month.  Now regarding recent changes to our executive team, I'm pleased to announce that Linda Gillespie has joined Cogeco on April 4 as Senior Vice President and Chief Human Resources Officer. Linda has more than 25 years of experience in various industries, including telecommunications. Until recently, she was Senior Vice President Human Resources and Communications at Western Foods for over seven years. She has held in the past various marketing and corporate functions at Nortel, among others. Linda's experience leading human resource teams, and her proven leadership skills in strengthening a collaborative and customer centric culture makes her an ideal candidate to support Cogeco’s strategy and talent management goals.  I would also like to extend our thanks and appreciation to Diane Nyisztor who was occupied the roles for many years prior to her retirement.  I will now let Patrice discuss our financial results.
Patrice Ouimet: Thank you, Philippe. So revenue at Cogeco Communications is up 15% and adjusted EBITDA is up 13.8% in constant currency when compared to the same quarter last year, was driven by EBITDA growth of 31.4% of Breezeline, mainly as a result of the Ohio Broadband Systems Acquisition.  free cash flow increased by 7.2% in constant currency, mainly as a result of higher EBITDA and lower current income taxes partly offset by higher capital expenditures and financial expenses. Capital intensity reached 19.5%, compared to 18.2% last year, due to higher capital intensity in our Canadian operations related to the maintenance and the expansion of Cogeco Connections network infrastructure.  In second quarter Cogeco Communication continues to be active in its share buyback program with a purchase of 189,000 shares at a cost of $19 million. Overall, Cogeco Communications’ financial results for the first half of fiscal ‘22 were as expected and the company is maintaining its guidance for revenue and adjusted EBITDA for fiscal ‘22.  As Philippe briefly mentioned, Cogeco Communication expects in the second half of fiscal ’22 lower acquisition of property, plant and equipment than initially planned with a corresponding increase in free cash flow. Of the $95 million in reduction in expected capital expenditures, about half is due to some network expansion projects, primarily of Breezeline which are taking more time due to delays in permitting and obtaining franchise agreements. The scope of the expansion is the same, but some areas have a few months of delay and will be carried on during the first semester of fiscal ‘23.  The other half of the capital expenditure’s reduction is due to the timing of other projects, including network investments in our recently acquired Ohio operation, which will be spent over a longer period of time. Our base CapEx intensity in fiscal year ’22 should be approximately 19% and with the network expansion should be about 25% instead of the initial projection of 28%.  A revised projection for capital expenditures amounts between $720 million and $750 million for the year, including $180 million to $200 million in network expansion projects. Free cash flow is expected to decrease between 13% and 23% compared to the previous year, which is a lesser decline than under the previous guidelines. Excluding the network expansion projects free cash flow in the constant currency would otherwise increase between 16% and 26% compared to the prior year.  As mentioned on the last call, we expect that organic year-over-year EBITDA growth will improve throughout the third and fourth quarters at both Breezeline and Cogeco Connection as some of the last year's marketing and advertising expenses were deferred to the second half of the year. In addition, we had recorded in the third quarter of last year a $4.6 million charge related to the CRTC decision on aggregated wholesale internet rates.  Now let's look at the individual components. In the U.S., Breezeline’s revenue and EBITDA in constant currency increased by 31.3% and 31.4% respectively in the second quarter, mainly as a result of the Ohio Broadband Systems Acquisition. Excluding the Ohio impact, revenue in constant currency increase by 4.4%, mainly from a higher internet service customer base, a higher value product mix and annual rate increases implemented in September of last year. EBITDA excluding the Ohio impact and concentrates increased by 4.8% as a result of organic revenue growth, partly offset by rebranding costs and higher marketing and advertising activity. We expect a gradual increase in organic year-over-year EBITDA growth in the third and fourth quarters as we reduce investments in rebranding.  High speed internet additions resulted from both residential and commercial sectors. The growth in the residential sector was partly driven by ongoing demand for high speed internet offerings, and increased marketing efforts towards internet led offerings on their broadband first strategy. The larger loss in video and telephony customers relative to the same quarter last year is mainly due to the broadband first strategy which is focused on higher product mix. These are though commercial disconnects, and reductions in the Ohio System which were expected. Now turning to our Canadian operations. Cogeco Connections’ revenue increased by 2.1% in constant currency relative to the same quarter last year. Excluding the impact of the DERY, the acquisition we closed last year, revenue in constant currency increased by 2.9%, mainly due to our larger internet service customer base, rate increases implemented in November, and growth in the commercial sector.  Adjusted EBITDA increased by 1.7% in constant currency relative to the same quarter last year. Again, excluding the DERYtelecom acquisition, EBITDA in constant currency grew by 0.6%, which was expected as part of our annual guidelines. We expect a gradual increase in organic EBITDA growth in the third and fourth quarters, and we expect less volatility going into the new year in fiscal ’23 and quarterly EBITDA organic annual growth as this year's results follow a more normal pattern of profitability.  The broadband customer additions in the second quarter were slightly lower compared to last year which benefited from the positive impact of the pandemic. The video customer losses were comparable and telephony customer losses were slightly lower than last year.  Let us now discuss Cogeco Inc. In the second quarter, consolidated revenue increased by 14.7% and EBITDA increased by 13.4% in constant currency. Revenue related to the radio operations increased by 4.9% as the economy was less impacted than last year by public health measures. Even though the advertising markets remain soft, we do see signs of a gradual recovery.  We are confirming Cogeco’s fiscal ‘22 revenue and EBITDA financial guidelines, which were updated in November, and reflect the same expected revenue and EBITDA growth as Cogeco Communications. Cogeco’s capital expenditures and free cash flow guidelines were also revised to take into account the revisions as Cogeco Communication. Turning to our shareholder distributions, Cogeco allows a normal course issuer bid and generate to repurchase up to 325,000 shares for the year. In a second quarter, Cogeco acquired 154,000 subordinate voted shares for a total amount of $12 million.  Now back to Philippe, are concluding remarks.
Philippe Jette: Thank you, Patrice. But as you can see, we have good news to share. And our second quarter financial results and customer trends have improved relative to the first quarter. And we have therefore started the first half of the year, the fiscal year on very solid ground and we expect that organic year-over-year EBITDA growth for both Cogeco Connection and Breezeline will continue to gradually improve in the third and the fourth quarter.  Finally, I would like to give an update on Cogeco’s commitment relating to environmental, social, and corporate governance. We were excited that Cogeco Communication was included, for the first time in the prestigious Sustainability Yearbook presented by S&P Global for our excellence and implementing best ESG business practices. In order to be listed in the yearbook, companies must score within the 15% top performers in their industry and achieve an S&P Global ESG score within 30% of their industry's top performing businesses.  We recently published our ESG and Sustainability Report where we provide an update of our environmental, social and governance performance indicators, along with other information pertaining to our sustainability strategy, and the progress achieved over the last two years. The report will from now on, be published annually.  We are very committed to continuously enhance our sustainability program through the implementation of best ESG practices, which has more recently earned us a place on the Corporate Knights Global 100 Most Sustainable Company, this for a third consecutive year, and their Clean 200 list which recognized companies around the world that are leading the way with solutions for a transition to clean future. Cogeco Communications is among only 18 Canadian organizations to receive the honour.  And now we will be happy to answer your questions.
Operator:  We have our first question from the line of Jerome Dubreuil from Desjardins Securities. Your line is now open.
Jerome Dubreuil : Thank you both. Good afternoon, thanks for taking my question. First one is on the change in terms of CapEx guidance. It seems like half of it you control it and the other half, you don't seem to control it. So my question is, is this mainly a push forward? So should we expect higher CapEx may be in 2023? And also does this signal any change in capital allocation priorities? 
Patrice Ouimet: Afternoon Jerome Well, let me start by saying that we were -- we are as usually very, very disciplined in our engineering and business planning process. So it's a great news actually that we were able to optimize to lower numbers through careful design and planning and innovative solution findings as well, a reduction of CapEx. But as you mentioned, there's all also another component that is related to just the state of the economy, the supply chain challenge and some equipment that are experiencing some delays. So there are some projects that have been postponed.  And there's also the COVID impact to city and state processes. For example, obtaining franchise agreement and permits. So all this will -- I'm very optimistic. Optimists will only pick up and improve in the coming quarters so we can continue our projects as planned.
Jerome Dubreuil : Yeah, thanks. And just maybe back to should we expect higher CapEx in 2023?
Patrice Ouimet: So it's still a bit early for 2023. We're going to provide guidance in July. That being said, I would say base assumption could be that we'd be in a similar place what we were forecasting for this year, originally. So a base capital intensity of about 20%. And being in the high-20s, including network expansions, I would not assume that we would, at least at this point, that we'd be over what we were planning originally this year.
Jerome Dubreuil : Yeah, thanks. And then on the wireless review, it seems like we're transitioning phase here. The CRTC review is reviewing it right now. Can you confirm if you have seen these conditions? And I know we don't have the rates yet, but if you have seen them are these terms under which you would be comfortable deploying a service.
Philippe Jette: No. Unfortunately, Jerome, we are still awaiting, like everybody else the results of the terms and conditions from the CRTC. They have not released anything do anyone.
Jerome Dubreuil : Great. That’s cool. 
Operator: We have our next question from the line of Matthew Griffith from Bank of America. Your line is now open.
Matthew Griffith : Hi, good morning. Thanks for taking the question. I just wanted to ask on the on the U.S. broadband side. I see like in this past quarter your net ads picked up from a relatively soft Q1. And I believe last quarter, you were also talking about increased advertising spend, like the rebranding and the expectation for some bulk contracts in Florida, but I don't think you mentioned the timing of when they would land. So I was just wondering, did any of those bulk contracts come through this quarter? And -- or was it -- was the improvements sequentially related to your marketing efforts?
Philippe Jette: Yes. And we were really happy to see in Q2 that actually the three segments residential, commercial and bulk have actually a picked up. So compared to the first quarter, we did not add great numbers into three segments. But now in the second quarter, the three segments have contributed, and bulk is now part of the upside.
Matthew Griffith : Okay, and so was -- do you expect more to continue roll again throughout the year? Or was that what you were referring to last quarter on the bulk contract side?
Philippe Jette: We simply expect to continue to similar success rate that we've reported in the past in bulk as well as commercial and residential. So the most important things to us was to bring the three segments back to performance.
Matthew Griffith : Right. Okay, that's good. Thank you. And one other if I may. As you're getting closer to finishing some of these expansions. I think, like Canada, you're on the closer side. Like what are your expectations? I know you've given penetration rate expectations, but do you expect subscribers to kind of follow a similar pattern as the base?  So in Canada, you disclosed that about two thirds take two or three services and third, take one. And in the U.S., it's roughly the reverse of that. Is that what you would expect in these expanded new territories? Or would you -- or would your broadband first strategy suggest that a large percentage in each would perhaps take one service and a relatively small percentage would fall into that two or three category, because any kind of expectations that you can share we'd be helpful.
Patrice Ouimet: Yeah. So it's probably both. So we do -- we will offer the three services. And so it's fibre to the home internet, we have the IPTV products in both countries. We just launched one in U.S. and Canada has been in market for more than a year. And obviously, the phone product. The natural tendency, I would say, in these areas, and also across the board, when we have new customers that leave -- let’s say competition is that you will have a higher proportion of people that will take on the internet than before, or then the base. So that's what we're assuming. We're not assuming it's going to be only internet, but it will be lesser share of two entry products than what we have in the global base.
Matthew Griffith : Okay, great. That's helpful. Thank you very much.
Patrice Ouimet: Thank you. 
Operator:  No further questions at this time. I turn the call back over to Mr. Patrice Ouimet.
Patrice Ouimet: Well, thank you, everybody, for joining us today. And we're going to be back for a third quarterly call in July. So we'll see you then. And feel free to call us in the meantime. Thank you. Bye now. 
Operator: This concludes today's conference call. 